Operator: Good morning, and welcome to the DSW's Fourth Quarter 2014 Earnings Conference Call. All participants will be in a listen-only mode. After today's presentation, there'll be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Christina Cheng, Senior Director of Investor Relations. Please go ahead.
Christina Cheng - Senior Director-Investor Relations: Thank you, Emily. Good morning, and welcome to DSW's fourth quarter conference call. Earlier today, we issued a press release detailing the results of operations for the 13-week period ended January 31, 2015. Please note that various remarks made about the future expectations, plans and prospects of the company constitute forward-looking statements. Actual results may differ materially from those indicated by these forward-looking statements due to various factors including those listed in today's press release, and in our public filings with the SEC. Joining us today are Mike MacDonald, President and CEO; Debbie Ferrée, Vice Chairman and Chief Merchandising Officer; and Mary Meixelsperger, our Chief Financial Officer. Mike will discuss our full-year performance and our progress towards strategic priorities, followed by Mary, who will review our 2014 results and outlook for 2015. After our prepared remarks, we will open the floor for Q&A. With that, I'll turn the call over to Mike.
Michael R. MacDonald - President and Chief Executive Officer: Thanks, Christina, and good morning, everyone. The 2014 fiscal year was one filled with many accomplishments and a few disappointments. We entered the year with very little sales momentum and with both external and internal challenges. These factors led to a difficult first-half performance that burdened our full-year results and prevented us from increasing adjusted earnings for the first time in six years. The good news is that we addressed the situation swiftly and effectively. At the outset of the year, we made a number of leadership changes in our buying organization. These changes led to a resurgence of our women's footwear business, which contributes over 60% of total revenues. After four consecutive quarters of comparable sales declines, the women's footwear category turned positive in Q3 and recorded a strong 6% increase in Q4. We also strengthened our value proposition by increasing our opportunistic buys and selectively reducing our prices, while enhancing our brand assortment across all stores. We believe these actions contributed to our steady improvement in comparable sales performance throughout the year. In the online space, we made it much easier for our customers to take advantage of our free shipping offer. And we highlighted this offer more prominently on our website. In addition, we broadened our online assortment through the expansion of our Drop Ship program. We also added PayPal as a secure payment option and implemented a mobile app. We believe these and other actions were responsible for the accelerated growth of dotcom demand as the year progressed. In terms of marketing, we made some significant moves. We increased the marketing spend and we made shifts in how we spend our marketing budget by media type. We believe those changes helped to create the sales momentum that we'd build throughout the year and contributed to positive store traffic counts in Q4 of 2014. In the omni-channel arena, we digitized products that previously were offered for sale in stores only. We also increased our commitment and support of our Ship-from Store capability. For the year, omni sales, that is sales that are demanded in one location and fulfilled from another, almost doubled. And we also saw in-store engagement improve, with almost 6% of store sales completed using mobile point-of-sale tablets. All of these actions came with consequences. Our markup contracted, our shipping costs increased, our shipping revenue declined, and our marketing costs de-levered. To be clear, I consider these costs to be investments in our business that are paying off. In the first quarter of the year, our comparable sales declined by almost 4%. In the three subsequent quarters, we recorded comparable sales increases of 1%, 3% and almost 8%, respectively. While expense reductions and efficiencies can create short-term profit increases, top-line growth is the engine that drives long-term profitability. In 2014, we invested in the future growth of our business. The rapid growth of e-commerce and smartphone adoption continues to change customer expectations of how they want to shop and how they expect retailers to conduct business. Many of the changes we affected in 2014 were in response to these evolving customer preferences. However, we have much more to accomplish as we redefine DSW's brand cornerstones of assortment, value and convenience. Let me review a few of our priorities for 2015. This spring we will pilot a new technology-based service model that will bring the endless aisle experience in store. We're expanding the DSW.com assortment to include a wider selection of accessories. Later this year, we will add buy-online, pickup-in-store capability. We will revise our Ship-from Store fulfillment criteria to select stores with slower inventory turns. We believe this will reduce markdowns and increase margins. We're in the midst of implementing our new assortment planning system, which allows us to allocate our products more precisely by location based on customer preferences. We expect to derive benefits from this system beginning in 2016. We continue to refine our small-format store. We will have 17 locations opened by the end of 2015. We implemented a new labor scheduling system that will improve customer engagement by better matching store staffing with customer traffic. We launched a new marketing campaign this spring that more effectively focuses on our target customer. And we recently enhanced our rewards program by awarding full points on clearance purchases. We believe this enhancement is another way of creating more value for our customers. I'm confident these initiatives will continue to transform DSW into an even more customer-centric company. We are also morphing our organizational structure to become more customer focused. Last month, we announced several important organizational changes that I want to highlight here today. First, we designated Carrie McDermott as Chief Operating Officer. Carrie had previously been responsible for Stores, dotcom site operations, and the Shoephoria call center. We've expanded her responsibilities to include marketing, which means she will now manage all four customer touch points. This change will ensure we deliver a consistent experience across all points of contact. Second, we designated Bill Jordan as our Chief Administrative Officer. Bill had previously overseen Human Resources, Real Estate and Legal. He now adds Information Systems to his portfolio of responsibilities, which will allow him to impact the business more directly. Third, we designated Roger Rawlins as our Chief Innovation Officer. For the past two years, Roger has been directing our omni-channel team and initiatives. We no longer consider our omni work as just another business initiative, rather we see it as a fundamental restructuring on how we plan and operate the business. In his new role, Roger will be responsible for strategic planning, innovation and project implementation. And finally, we designated Harris Mustafa as our Chief Supply Chain Officer. This change recognizes the increasing importance of DSW's supply chain initiatives to the achievement of our strategic objectives. These changes will improve the consistency of the customer experience, balance workload across the organization and provide development for individuals who have the capacity and the desire to contribute more significantly. The changes will also increase our bench strength. In summary, after a difficult start to 2014, we responded with actions that have reenergized our business and given us momentum as we entered 2015. In addition, we continued to pursue our longer-term strategic agenda that will position DSW as America's favorite place for shoes. Before I turn it over to Mary, let me say a couple of words about the West Coast port delays. First, we're delighted that the labor contract negotiations have apparently been settled. However, the processing slowdowns that we have seen for the last several months have resulted in product delays. We've been able to offset some of these delays with the early release of our pre-buy inventory. As of today, our inventory ownership is approximately 6.5% lower than what we had intended it to be at this time. Further, we expect it will take another several weeks or even months before the West Coast ports are caught up and operating normally. We've been working through this situation cooperatively with our suppliers to minimize its impact on our sales and profitability while simultaneously capitalizing on opportunities for highly advantageous buys. With that, I'll turn the call over to Mary to discuss our financials in more detail.
Mary Meixelsperger - Chief Financial Officer: Thank you, Mike, and good morning, everyone. Our reported net income for the year was $153.3 million or $1.69 per share, compared to last year's reported net income of $151.3 million or $1.65 per share, which included $0.23 per share in charges related to RVI and our luxury test. Excluding these charges, adjusted net income for the year was $153.5 million or $1.69 per share, compared to last year's adjusted net income of $172.8 million, or $1.88 per share. All of my comments this morning regarding year-over-year comparisons will relate to adjusted results, which excludes charges related to RVI and our luxury test. Our full-year results reflect the actions we took to reignite our sales momentum in fall. We infused new talents within our merchant team, repositioned our inventory, strengthened our value proposition and brand mix, and invested in the powerful marketing campaign. As a result, after starting the year with the 4% comp decline in Q1, we ended with a comp increase of 7.6% in Q4. Our full-year merchandise margin rate decreased by 155 basis points, driven by spring markdown activity, higher shipping costs and lower initial markups. Again, our performance was markedly different between the first and second half of the year. In spring, our merchandise margin declined 240 basis points. This decline narrowed to 70 basis points in the fall, with an improved markdown rate offsetting lower IMU category mix and lower shipping revenues. Our full-year occupancy rate increased by 30 basis points, two-thirds of which was for impairment costs incurred during the second and third quarters. Fulfillment and distribution costs increased 10 basis points. The full-year gross profit rate was 190 basis points lower than the prior year. Full year SG&A expenses increased by 7% due to store expense growth, IT expenses and marketing investments. As a percentage of sales, SG&A rate increased by 20 basis points than last year. Savings from lower incentive comp accounted for a 30-basis point benefit for the full year. As a result of these factors, full-year operating margins decreased by 210 basis points to 9.7%. Including an after-tax contribution of $2.8 million from Town Shoes of Canada and a higher tax rate, adjusted net income decreased by 11% with a spring season accounting for virtually all of that decline. Full-year EPS was $1.69 per share. Turning to the most recent quarter, our Q4 sales capped a success of comp improvement throughout the year. Sales for the quarter increased 12% to $640 million, driven by a comp increase of 7.6%. Comparable transactions for the DSW segment increased 7%. Store and online traffic increased and maintained its momentum after the holiday shopping period. Conversion rates increased in both Store and dotcom. Low single-digit increase in units per transaction was partially offset by slightly lower average unit retails, leading to a modest uptick in ADS. AURs increased in footwear but decreased in accessories. Women's footwear had a 6% comp increase during Q4 driven by strong demand for boots and dress footwear. Women's boot comps increased by 13% on top of last year's 8% increase. We chased demand for cold weather boots using some of our pre-buy inventories. Our women's dress footwear comped up 6% on the quarter, driven by regular price merchandise. Our customer responded favorably to greater levels of fashion and newness in the assortment. Our women's casual business comped down 8%. We continue to adjust our casual assortment to fund the customer's preference for fashion athletic, while modernizing classic silhouettes within casual flats. We plan to drive improvements in the spring season with the expansion of key items that tested well this fall. Men's footwear posted a 7% comp increase driven by strong results in men's boots. Athletic was the strongest footwear category in the quarter posting a 14% comp increase. We distorted our buys in fashion athletic to capitalize on strong holiday demand and the strength in vulcanized footwear. Our athletic comp accelerated throughout the year. Our accessories business comped up 13% in the quarter, led by growth in fashion accessories, hosiery and jewelry. We expanded our accessory assortment online during December and saw the category drive incremental business during the gift-giving season. Geographically, our sales performance was relatively even. Our regular price comps were consistently positive throughout the quarter. Our clearance comps were below regular price, but still positive, due to faster sell-through rates, leaving the lower clearance inventory levels at the end of the quarter. In addition to the improvement in traffic, we increased our rewards enrollment rates and drove an increase in transaction activity by new members. We added a net 1.3 million new rewards members this year. We opened 37 new locations in 2014, including 5 small-format stores, for a total of 431 locations. This represents an increase of 9.4% in-store count and 6.8% in square footage. We estimated that sales cannibalization had an impact of about 1% in our comparable sales performance for the year. In our Affiliated Business Group, fourth quarter comps increased by 3.3% on top of a 1.8% increase last year. ABG opened three stores during the fourth quarter for a total of 372 locations. We were pleased with the momentum in our ABG business. Fourth quarter gross profit declined by 60 basis points to last year. Q4 merchandise margin declined by 100 basis points, driven by lower shipping revenue, lower initial markup, and non-recurring items that benefited Q4 last year. Lower initial markups drove better sell-throughs and lower markdowns. Lower shipping revenues drove a 30-basis-point de-leverage in net shipping expense. The nonrecurring items from last year provided a headwind of 35 basis points. Occupancy rate was 50 basis points favorable to last year due to sales leverage, and our distribution costs increased by 10 basis points. As a percentage of sales, our Q4 SG&A rate was flat to last year. Q4 adjusted net income was $30.9 million, an increase of 8%. Diluted earnings per share increased by 13% to $0.35 per share on 89.4 million shares outstanding. Fourth quarter EPS included a $0.01 benefit from Town Shoes of Canada and was included – which was included in our prior guidance; and $0.02 of income from a legal settlement. Turning to the balance sheet, inventories for DSW, Inc., ended above last year by 6.5% on a cost per square foot basis. This included an increase in pre-buys, secured to deliver exceptional values. Excluding pre-buys, inventory costs per square foot increased by 2.8%. We ended the quarter with cash, short-, and long-term investments of $447 million, compared to $579 million last year, driven by higher CapEx, ongoing buyback and dividend activity, and a $72 million investment in Town Shoes of Canada. We generated $107 million in free cash flow this year despite weak results during the first half of the year. Our well capitalized balance sheet enables us to make key investments while enhancing shareholder return. For the full year, we invested $93 million in CapEx, an increase of 11% over last year due to business and IT projects, new stores and store remodels. Growth remains the top priority for capital allocation. Cash return to shareholders exceeded $152 million in 2014 with $85 million in share repurchases and $67 million in dividends. We currently have $63 million available on our current share repurchase authorization. We did not repurchase any shares from the fourth quarter. However, our board increased our quarterly dividend by 6.7% to $0.20 per share this quarter, which results in a dividend yield of 2.1% based on yesterday's closing price. Turning to our outlook for 2015, as we've started this year with a more encouraging economic backdrop, we expect to drive continued top-line momentum with exciting initiatives in merchandizing, customer experience, digital innovation and marketing. Full year comparable sales are expected to increase in the low- to mid-single-digit range. Total revenue growth is expected in the 7% to 8% range. We will open 35 new DSW stores including 8 to 10 small-format stores. We expect merchandise margin to improve modestly. Lower markdowns are expected to offset lower initial markups, modest cost inflation, shipping expenses and the cost of enhancing our rewards program as we grant full points on clearance purchases. In addition, we expect to see modest leverage from occupancy expenses with our projected comp range. Our guidance does not factor in any impacts from possible supply chain disruptions. We expect SG&A expenses to increase in the low double-digit range driven by two items; higher incentive compensation which provided a source of cost savings last year, and an increase in non-cash equity compensation expense. The increase in stock compensation is due to a change in the method used to translate compensation in the equity units and the use of a shorter amortization period for certain equity grants. Without these two items, 2015 SG&A growth would be roughly 9%. We expect operating profits to grow by 10% and operating margin rate to be slightly better than last year. Excluding the increase in incentive compensation and stock compensation expense, we expect operating income to grow in the mid-teens range. Assuming the tax rate of 39% and a share count of 90 million shares, we expect full-year earnings per share in the range of $1.80 to $1.90 per share. This includes $0.45 per share from Town Shoes of Canada and does not assume any new share repurchases. The midpoint of guidance represents approximately 10% earnings growth in 2015. We expect capital expenditures of approximately $115 million in 2015, with half going into new stores and remodels and the balance going into technology including e-commerce investments and other business projects. In summary, we ended 2014 with a strong finish with Q4 EPS growth of 13% and our strongest comp sales in the last three years. We hope to continue our positive momentum in fiscal 2015. We are confident our disciplined execution of our business model will create a sustainable runway for long-term growth and consistently attractive return on capital. This completes our prepared remarks. And I'd like to turn the call over to the operator for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. Our first question is from Camilo Lyon of Canaccord Genuity. Please go ahead.
Camilo R. Lyon - Canaccord Genuity, Inc.: Hi. Good morning, everyone. Nice job on the quarter.
Mary Meixelsperger - Chief Financial Officer: Thank you.
Camilo R. Lyon - Canaccord Genuity, Inc.: So, quick reconciliation question. So, Mary, in the guidance you said that there's no impact from possible supply chain disruptions, but Mike, you also said that there is a delay in getting some of the inventory into your stores. I think you said about 6.5% lower than what you expected. Could you just help reconcile that comment with the guidance, and if we should expect to see some sort of impact to the Q1 comp?
Michael R. MacDonald - President and Chief Executive Officer: Sure. It's a good question. Right now, our sales performance in the first six weeks of the quarter is consistent with our guidance. Okay? So, any port delays that have resulted in lower inventory levels have been offset by other factors. What happenes the rest of the way, I can't tell. I can tell you that we are missing about 6.5% of inventory that we had expected to have at this time. It's affecting certain areas worse than others, and we're monitoring it carefully. And we're going to be shipping some key items in via airfreight and working in other ways to minimize the impact, which as I say so far, we've been successful in doing that. But it would be inappropriate for me not to mention the fact that we're missing some significant portion of our inventory.
Mary Meixelsperger - Chief Financial Officer: Camilo, I'd also comment that specifically, in the sandals area, our sandals inventory has not been affected by the late delays. We're on plan with regard to our sandal inventories. And second, I would also tell you that our merchants are working hard to take advantage of opportunistic buys given what we're seeing in the marketplace related to the port delays.
Camilo R. Lyon - Canaccord Genuity, Inc.: That actually leads me to my second question. Obviously, this seems to be like a very advantageous scenario for you to do just that. Can you help us understand how long this benefit should last if you're able to buy as much inventory as you eventually want to? Can this help Q2, Q3, can this help spring of 2016? And how do we think of the overall duration of this benefit of the inventory that's going to be released onto the market?
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Sure. I'll take that question. This is Debbie. So, we believe that the late deliveries are actually just spring merchandise, spring/summer merchandise. So, we should be able to take advantage of that benefit through opportunistic buys, second quarter and third quarter, and in some cases, fourth quarter because remember, we do a southern door sandal strategy that starts about October, starts early for resort areas. And we believe that we'll be able to take advantage of some of those goods and be able to use those for Q4. It may be depending on what lists come out. We started to see the opportunity by list come out now. It may be that once we see the full complexion of those lists that there could be some opportunities for pre-buy for spring of 2016.
Camilo R. Lyon - Canaccord Genuity, Inc.: Great. And is that to say, that as you think about that opportunity to buy that incremental product, that we should expect that to be, obviously, margin beneficial to you?
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: So, I would say that part of it will be margin beneficial, but the other piece of this is being able to really add, to pass more value on to our customers. So I think it will be a blend.
Camilo R. Lyon - Canaccord Genuity, Inc.: Great. And then just final point on that and I'll pass it on to the next person. The comp of low- to mid-single digits, does that embed opportunistic purchases and expectations of selling that product over the next few quarters or is that more of just the run rate of the business excluding the opportunistic portion?
Mary Meixelsperger - Chief Financial Officer: Camilo, this is Mary. It does embed assumptions related to the opportunistic buys.
Camilo R. Lyon - Canaccord Genuity, Inc.: Okay. Wonderful. Good job, guys. All the best.
Mary Meixelsperger - Chief Financial Officer: Thank you.
Operator: Our next question is from Seth Sigman of Credit Suisse. Please go ahead.
Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker): Okay. Great. Thanks very much and congrats, guys, on all the progress that you're seeing. I want to talk a little bit about SG&A and how to think about that. So, in the second half of 2014, the spending picked up a bit and obviously, it's yielded strong results on the top line. But when you look at the guidance, that calls for 9% growth in 2015, slightly above sales. Can you just walk us through some of the areas you're still investing in and the cadence and how we should be thinking about that throughout the year? Thanks.
Michael R. MacDonald - President and Chief Executive Officer: Yeah. I think in the script, we noted that two big headwinds we've got are a full complement of incentive compensation, which is about a $10.5 million bad guy for next year or for 2015. And then some change in the equity compensation program which is about $5.5 million. So, you put those two together and it's a $16 million headwind. And if it weren't for those two pieces, I think, our SG&A rate would be about flat. And our operating profit would be up in the teens. So, it's really, those two factors that are causing us not to lever more.
Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker): Okay. But, I mean, historically, you've been able to lever on a low- to mid-single-digit comp a little bit more than that. So, there are still investments within that, I know, in the second half of the year whether it was IT or marketing that you've emphasized. Obviously, it's having a positive impact on sales. Just trying to understand if there's areas like that that you're still focused on in 2015?
Michael R. MacDonald - President and Chief Executive Officer: Sure. And you mentioned the two that I would have mentioned, IT, in order to continue our work to make our customer experience more seamless across all channels. And marketing, which we will annualize some of the spend we started to make last year.
Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker): Okay. And just a clarification on the EPS guidance, the $1.80 to $1.90. Does that include share repurchases?
Michael R. MacDonald - President and Chief Executive Officer: No.
Mary Meixelsperger - Chief Financial Officer: No.
Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker): Okay. Thanks.
Operator: Our next question is from Scott Krasik of Buckingham Research. Please go ahead.
Scott D. Krasik - The Buckingham Research Group, Inc.: Yeah. Hi, everyone. Thanks for taking my question. Can you just go back and parse out the merchandise margin down 100 basis points. Maybe talk about the IMU pressure in that versus fewer markdowns. And then talk about, I think you said your merchandise margin expectation was to be up modestly. Obviously, the comparisons look very juicy, especially in the first half. So, maybe talk about the puts and takes there, please.
Mary Meixelsperger - Chief Financial Officer: So, Scott, are you talking specifically about Q4 last year?
Scott D. Krasik - The Buckingham Research Group, Inc.: Q4 and then what's sort of embedded in the guidance?
Mary Meixelsperger - Chief Financial Officer: Sure. So, Q4 of last year, specifically we were up against a good guy from fiscal 2013 of 35 basis points that was primarily related to an insurance settlement that came away from Hurricane Sandy that happened in 2013. So, when you take that 35 basis points out, you're really 65 basis points up against the prior year in terms of a reduction. IMU rate was down by 55 basis points and that was offset by a 24-basis-point good guy compared to Q4 of 2013 really because our sell-throughs were better overall. So, when you look at merch margin, those were the two big drivers. And then we also have continued impact of shipping cost of about 28 basis points that was driven from the increased penetration of direct-to-consumer sales. What we did lap the charge-send rollout, but we're still seeing significant comp increases year-over-year in that direct-to-consumer business. So, those were the big pieces in merchandise margin. We did see occupancy leverage of 51 bps for the quarter.
Scott D. Krasik - The Buckingham Research Group, Inc.: And then embedded in the guidance, IMU and that type of thing and can you recapture half of, let's say, the merchandise margin you lost last year?
Mary Meixelsperger - Chief Financial Officer: Well, we're certainly projecting to recapture some of that merchandise margin. In total, in terms of what we've guided to, we haven't gotten specific as to what those puts and takes were, but it's fair to say that we see most of that benefit coming in the first half.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. And then – thank you. And then just last, Debbie, in terms of the comp this quarter, really strong athletic comp, nice rebound in the women's comp, is this just people are more committed to buying footwear again after a lull? This seems to harken back to when everything was going right in 2010, 2011.
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Well, I think a good portion of the comp improvement was some of the actions that we took reflecting back to Q1 and Q2 of what really happened in those quarters. I would tell you that there are some categories that actually turned on in a stronger way for us, for example, dress. We called that out in second quarter that we thought that was reversing that. In fact, it's happened. And that momentum seems to be sustaining itself. Athletic I think came on very, very strong and I see that continuing. So, I don't know if it's – I think it's partially due to some of the actions that we took, changing the organization, making the assortment better, passing more value to the consumer. And then some of these categories that were weak coming on very strong a lot on dress and athletic.
Scott D. Krasik - The Buckingham Research Group, Inc.: Yeah, real nice. Congratulations.
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Thank you.
Operator: Our next question is from Taposh Bari of Goldman Sachs. Please go ahead.
Taposh Bari - Goldman Sachs & Co.: Hi. Good morning. Congrats on the quarter as well. Mike, at the start of the call, you outlined a list of investments that you made last year, which seemed to be is bearing fruit based on, especially the fourth quarter comp. And you have some initiatives on the come, things like assortment planning that should, in theory, yield margin improvements. So, I guess the question I'm getting at is, do you think the cost of business for DSW is the same or is it changed over the past couple of years in light of the way that the omni-channel hurdle has evolved?
Michael R. MacDonald - President and Chief Executive Officer: I think there's probably three things going on. One, I think we have changed the way – we've changed the business to respond to how the customer wants to shop. And last year, we did almost $100 million worth of what we call omni-sales, where the customer demands it in one place and we fulfill it from another place. She expects us to do that, and we are continuing to drive bigger increases off of that very substantial base. And unfortunately, with that comes some higher shipping costs because it costs us more to ship from store than it does to ship from our fulfillment center. And about half of those omni-sales are being shipped from our 430-some stores. So it does come with a cost, and that's been fundamental. The other thing that we've been unapologetic about is that we took some pricing actions on key items. And we thought that was important, and we think it worked. And we tracked it, and it did work. The other thing in the margin category is we did have a couple of inventory imbalances, particularly in the first half of the year. And we should get that back because one of the things we're best at is being nimble and adjusting our receipts to changing business trends by category and by region. And then the other thing that's happened is that we've made a conscious decision to beef up our marketing budget. So I guess what I'd say is the shipping cost is structural. The markup is structural. But it's having favorable impacts particularly in Q4 on our markdown rate. The marketing probably is structural. And some of the higher markdowns that we experienced in 2014 are not structural. They should be correctible. What we got ahead of us is, like you say, the impact of assortment planning. To the extent Debbie decides to take these closeouts to higher margin as versus better value, that represents an opportunity. I made a mention in my comments about the next phase of our ship from – of our charge-send program, which is changing how we decide which stores we're going to pick the inventory from to fulfill omni orders. And right now, we use a fairly rudimentary decision tree, which first looks for the product in fulfillment center, and then it looks for the product, if it's not in the fulfillment center, in nearby locations. And later this year, we'll change that decision tree to pick the store to fulfill those orders from based on where the product – that specific product is turning the slowest and where it's most likely to turn into a markdown. And I think that can have some pretty significant margin impacts. So, those are the puts and takes as I see them.
Taposh Bari - Goldman Sachs & Co.: Great. I appreciate the detail. And then the follow-up is on boots. Debbie, perhaps for you. Can you remind us or provide some context into how big your cold weather boot business is in the fourth quarter? And I guess, the question that we're ultimately getting at is do you see similar strength in your non-cold weather boot business during the quarter?
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Yes. So, let me just get that number for you in the cold weather boots. Hold on one second here. About 18% in Q4. That was one of the strongest comp categories that we had for Q4. If you extract out cold weather now because, obviously, year-to-year you can't really rely on that, we still comped double-digit comp increase in boots. So, cold weather made it stronger, but it was still a strong comp even without it.
Taposh Bari - Goldman Sachs & Co.: 18% – is the 18% of company or 18% of women's?
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Of the boot category. Is that comp or penetration?
Taposh Bari - Goldman Sachs & Co.: Okay. Got it.
Michael R. MacDonald - President and Chief Executive Officer: Penetration
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Oh, it's the penetration.
Taposh Bari - Goldman Sachs & Co.: Okay. Thank you, guys. Good luck.
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Thank you.
Operator: Our next question is from Jeff Van Sinderen of B. Riley. Please go ahead.
Jeff Van Sinderen - B. Riley & Co. LLC: Hi. Good morning. And let me add my congratulations. Maybe you can just touch a little bit on any performance difference that you've seen in cold weather versus warmer weather markets? And then any thoughts on how you're looking at that in the context of extreme weather that we saw in February? Just wondering if there's anything to read into that. And then also, just a follow-up on SG&A. Just wondering if we should be thinking that maybe next year is a year when we could see more SG&A leverage? And then finally, if you could just touch on a quick update on Town Shoes. Thanks.
Mary Meixelsperger - Chief Financial Officer: Sure.
Michael R. MacDonald - President and Chief Executive Officer: Okay. So, in terms of regional performance, I think Mary's comments spoke to a fairly even performance in the quarter. And over longer periods of time, the performance tends to even out. To the point about the extreme weather, our business is very weather-affected. And when temperatures are seasonal, we do exceptionally well, and when they're inclement, we struggle. And so, to your point about February, the first half of February was very good and the second half of February was very weak because of the obvious weather issues we faced. In terms of SG&A, I think our comments were fairly straightforward in terms of what we expect in SG&A. We expect some minor deleverage in SG&A in 2015, and it's due to the two items that I mentioned, the incentive compensation and the equity compensation. And were it not for that we wouldn't lever a little bit. We are focusing on driving top line. And we think that's the engine that drives long-term profitability. So that's what we're going to do. In terms of Town, Town is doing – let me comment on the DSW stores in the Town Shoes business. They've opened up the same two stores that they opened last year in August. Those stores are tracking to sales volume that would be consistent with an average DSW store in the United States. Aside from that, Town had mixed business in 2014 as they invested in their infrastructure to be ready for more growth in the future. And so, we're pleased with our investment in Town. It's approximately equal to what we said it was going to be in terms of the impact on our P&L. And there are going to be several more DWS store openings in Canada in 2015.
Jeff Van Sinderen - B. Riley & Co. LLC: Okay. Great work. Best of luck.
Michael R. MacDonald - President and Chief Executive Officer: Thank you.
Operator: Our next question is from Kelly Chen of Telsey Advisory Group. Please go ahead.
Kelly Chen - Telsey Advisory Group LLC: Hi, guys. Congrats on the terrific quarter. For 2015, I think that low-single to mid-single digit comp guidance, if I'm not mistaken is the strongest comp guidance you've had in a while. Debbie, you've talked a bit about dress and athletic. But to clarify, do you think there's more newness and more trends that can drive comps this year or do you think you're doing a better job of capitalizing on something like that leisure trend? Can you just talk a little bit about that?
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Yeah. So, in athletic, let me just ground this by saying that the fashion piece of athletic is about 40% of our total, and it comped about at that rate as well. So, all of the activity and action and newness and freshness is really coming out of the fashion piece of the business and it's really coming out of a couple of different brands and a couple of key styles. That business stayed very consistent, strong all through third quarter and fourth quarter. And it seems to be following that same momentum as we move into this year. So, I think it's big items, key items and key looks coming into the athletic space that actually are driving a huge part of the increase. But I will also tell you that the running business, the performance piece of the business is also strong for us.
Kelly Chen - Telsey Advisory Group LLC: Great. And then if you guys could also talk about, with opportunistic buys, where are you guys there now in terms of the percentage of the mix? And is there still more work to be done? And then just a follow-up on, if you could give us a quick update on what's going on with the kids initiative as well. Thank you.
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: So, for kids, we actually have it online right now, and we have it in 20 stores. We continue to test and learn. The business in children's is very healthy. As we look forward, we do think that there's an opportunity to continue to expand that business, and we're looking at what that strategy looks like now.
Michael R. MacDonald - President and Chief Executive Officer: Opportunistic. Opportunistic buys. That was the first part.
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Oh. Sorry. Could you repeat the first part of the question, I'm sorry, on opportunistic buys?
Kelly Chen - Telsey Advisory Group LLC: Sure. Just what percentage of the mix it is and where it stands now?
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Yeah. So, opportunistic buys/closeouts ranges right around 12%. We said on previous calls that it was 10%. We would let it float up to 15%. But I would tell you, as opportunities come in, if they're the right opportunities for our business, depending on what category they come in, we'll let that number float as high as we need to, to be able to satisfy customer demand.
Kelly Chen - Telsey Advisory Group LLC: Great. Thank you.
Operator: Our next question is from Chris Svezia of Susquehanna Financial Group. Please go ahead.
Christopher Svezia - Susquehanna Financial Group LLLP: Good morning, everyone. Nice job. Debbie, for you, just follow-up on the last question, the opportunistic buy piece. I'm just curious, what categories – I mean, given the port situation and the availability of inventory that's, obviously, could become available. Are you seeing it across pretty much every category from dress, casual? I mean, you mentioned sandals so far okay. But I'm sure there's going to be a lot becoming available. Just your thoughts about where you see the opportunity in certain categories on opportunistic buys because of the port situation.
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Yeah, Chris. So, I would tell you that it's really – it's not concentrated to any one particular category. It really seems to be impacting across many, many different categories. As Mary stated though, we have, by the way, we planned sandals. And by the pre-buys that we had in the sandal budget, we were able to protect our BOPS in sandals. So that category, I would say, has the least amount of pressure on it. But the frustrating part for the wholesalers is they can't really tell you – they know what's coming in, but they can't tell you when it's going to be unloaded and when it's going to be delivered. So, it's really been a little bit in many different places.
Christopher Svezia - Susquehanna Financial Group LLLP: Okay. Okay. Two follow-ups here. Just on casual. That category continues to decline, I'm sure you're planning it that way. Are you putting – are the categories like dress or athletic taking that open-to-buy dollar? And the last question I have is just on the – for the endless aisle inventory. Can you maybe just talk about that and how that might actually help your smaller-format stores, if at all?
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: So, Chris, I really looked at casual in a little bit different way than I have in the past. So, true casuals the way we've always looked at them, there are some bright spots there. That business is down right now. I do see it improving. But there are a couple of bright spots in there. Number one the flat category as we start to evolve that and it starts to get some new styles, tapered toes, some mixed materials, new ornamentation, seems to be fueling some life into that category. And then the modern comfort piece. So, all of the things that we saw at the MAGIC shoe show where you have casual with a little bit more attitude on the upper but with more comfort features. And we see some real strong life there. So, there are some bright spots within that category. When I combine casuals with the fashion – the vulcanized piece of athletic which is really an option for a lady that wants to wear a vulcanized shoe, it just doesn't happen to lie in the casual category. That business, combined, is very, very strong. So, I think you're seeing a shift between actual departments and what customers are choosing to buy. But I do see strength coming back into the pure women's casual business and we're starting to see that now.
Christopher Svezia - Susquehanna Financial Group LLLP: Okay. Good to hear. Thank you.
Michael R. MacDonald - President and Chief Executive Officer: And then, Chris, on the endless aisle question.
Christopher Svezia - Susquehanna Financial Group LLLP: Yes.
Michael R. MacDonald - President and Chief Executive Officer: Our average store has 2,000, 2,500 style color choices. And to your point, our small format stores have about half that. And when you consider that we've got probably 10x that in our total assortment, 10x the 2,000, 2,500, there's a wealth of additional choices out there for the customer. And I think you know from Day 1 when we started opening these small format stores, we said the key is going to be open up the full assortment to those customers because they're already looking at a reduced choice count in terms of what shoes are physically in that store. So, the technology-based and higher service model test that we're going to initiate shortly in 10 stores is really designed to exploit that opportunity, and it will be both technology and service. And those test stores will include certain small-format stores as well. So, we're going to really be patient with the test. We're going to monitor it over a year, but getting that right is essential to our growth strategy relative to small-format stores. It is important to all stores, but it is especially important to small-format stores. So, one thing you may have seen in our stores, Chris, is we just put up a new signing package...
Christopher Svezia - Susquehanna Financial Group LLLP: Yeah.
Michael R. MacDonald - President and Chief Executive Officer: ...that speaks to more styles, more colors, more whips, more sizes. And that, in a pretty obvious way, is announcing to our customer that there is much more beyond just what she sees in the store. And in the 10 technology test stores that message will be even clearer to the customer.
Christopher Svezia - Susquehanna Financial Group LLLP: Okay. All right. Fair enough. Thank you. All the best.
Michael R. MacDonald - President and Chief Executive Officer: Thanks.
Operator: Our next question is from Jay Sole of Morgan Stanley. Please go ahead.
Jay Sole - Morgan Stanley & Co. LLC: Hi. Good morning.
Michael R. MacDonald - President and Chief Executive Officer: Good morning, Jay.
Jay Sole - Morgan Stanley & Co. LLC: Thanks. I just want to follow-up on the small-format store question. Can you talk about how many – can you run us how many small-format stores you have now? Did you have a number for what they comped in the quarter? And can you talk about just where along in the spectrum you are in terms of testing these small-format stores? Or are they really finished products? Where are you in the evolution of those?
Michael R. MacDonald - President and Chief Executive Officer: Yeah. We've got seven of them opened right now. And the first two opened in the fourth quarter or third or fourth quarter of 2013, so most of them aren't even comparable. And I would say, they're all making a healthy return. About half of them are achieving our sales expectations in half or a little short. And so, we are not where we want to be. We are not a finished product yet, but it's not stopping us from moving forward because we're committed to giving it right in terms of what we put in the stores, in terms of how we service the customer in those stores, in terms of designing and the technology we use in those stores, and in terms of the cost of the build-out. So, we are working on all of those things, and we're confident we will get it right, and we're continuing to work on it right now.
Jay Sole - Morgan Stanley & Co. LLC: Okay. Got it. Thanks so much.
Michael R. MacDonald - President and Chief Executive Officer: Thanks.
Operator: Our next question is from Sam Poser of Sterne, Agee. Please go ahead.
Sam Poser - Sterne, Agee & Leach, Inc.: Thank you for taking my question. Good morning.
Mary Meixelsperger - Chief Financial Officer: Good morning, Sam.
Sam Poser - Sterne, Agee & Leach, Inc.: A couple of things. You talked about the 6% of your inventory that's missing. Does the guidance, Mary, include – recognized that missing inventory and not having it get worst? I mean, is that sort of – I mean...
Mary Meixelsperger - Chief Financial Officer: Yeah, Sam.
Sam Poser - Sterne, Agee & Leach, Inc.: ...that's my first question.
Mary Meixelsperger - Chief Financial Officer: Sure. I think Mike mentioned that we haven't yet seen an impact year-to-date relative to our guidance from the fact that we're down inventories from where we expected. So, from that perspective, we have not yet seen an impact. We are watching carefully in terms of getting those deliveries caught up and managing the inventories very carefully within the merchant teams to ensure that we're able to meet our customer sales demand. So, could there still be an impact from it, here, through the balance of spring? It's possible, and that would not yet be reflected in our guidance.
Sam Poser - Sterne, Agee & Leach, Inc.: No. That wasn't my question. My question was is you're 6% lower now. Does that – forget about what's going to happen next, does the 6% – is that 6% missing baked into guidance and hence, you're running up mid-single digits or so or within the range of your guidance so far? That's – you've taken into account what's missing. You haven't taken into account what may happen in the future. That's what I'm trying to understand.
Mary Meixelsperger - Chief Financial Officer: The 6% down in the inventory relative to where we thought we would be is not factored into the guidance.
Sam Poser - Sterne, Agee & Leach, Inc.: Okay. So, then theoretically you're doing better than you should be doing now, given that you're missing 6% of the inventory?
Mary Meixelsperger - Chief Financial Officer: That would be a fair statement.
Sam Poser - Sterne, Agee & Leach, Inc.: Okay. And then, Debbie, you talked about lower IMU and less markdowns, can you talk about how that all fits together? Because that's going to result, you're saying, in a better, a modest increase in gross margin or merchandise margin for the year.
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: So, I'm not sure I understand what the question is, Sam. I understand the metrics, but I'm not – I don't understand...
Sam Poser - Sterne, Agee & Leach, Inc.: A lot of people think if your IMU is going to be lower, it automatically means your end-of-day merchandise margins are going to be lower.
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Yeah.
Sam Poser - Sterne, Agee & Leach, Inc.: And you're saying, well, that may not be the case. Can you...
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Yeah.
Sam Poser - Sterne, Agee & Leach, Inc.: ...just give us some more color on that?
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: Yeah.
Michael R. MacDonald - President and Chief Executive Officer: Sam, I think we said in the remarks that fourth quarter IMU was down 50 bps or 55 bps, and that was offset by 25 bps worth of markdown improvement. So, I think that fourth quarter experience is probably the best way to look at what might happen going forward.
Sam Poser - Sterne, Agee & Leach, Inc.: And that's an evolution of sort of the way you're attacking things to, if I'm not mistaken.
Michael R. MacDonald - President and Chief Executive Officer: What do you mean? An evolution?
Deborah L. Ferrée - Vice Chairman & Chief Merchandising Officer: So, Sam, what I would tell you is we took pricing action, selective pricing action on particular style. What we saw was an improvement in sell-through, and we did see reduced markdown. That's not always going to happen, but it happened on the pricing action that we actually took. So, I think we're really learning about what customers' price sensitivities are around certain items and price points. We made those decisions. They worked out well for us. We'll use that same learning to guide some of the decisions that we'll make going forward.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to Mike MacDonald for any closing remarks.
Michael R. MacDonald - President and Chief Executive Officer: Okay. Thanks very much and thanks to all of you for your interest in DSW, your support of DSW, and your excellent questions. Have a great day. Happy St. Patty's Day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.